Operator: Good morning everyone and welcome to Horizon Bancorp conference call to discuss financial results for the three months ended September 30, 2021. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Before turning the call over to management, please remember that today's call may contain statements that are forward-looking in nature. These statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those discussed, including those factors noted in the slide presentation. Additional information about factors that could cause actual results to differ materially is contained in Horizon's current 10-K and later filings. In addition, management may refer to certain non-GAAP financial measures that are intended to help investors understand Horizon's business. Reconciliations for these measures are contained in the presentation. The company assumes no obligation to update any forward-looking statements made during this call. If anyone does not already have a copy of the press release and supplemental presentation issued by Horizon yesterday, you can access it at the company's website, www.Horizonbank.com. Representing Horizon today are Chairman and Chief Executive Officer, Craig Dwight and Executive Vice President and Chief Financial Officer, Mark Secor. They will be joined for the question-and-answer session by President, Jim Neff, Executive Vice President and Chief Commercial Banking Officer, Dennis Kuhn, Senior Vice President for Customer Banking, Noe Najera. At this time, I would like to turn the call over to Horizon's Chairman and CEO, Craig Dwight. Please go ahead.
Craig Dwight: Thank you Emily. Good morning and thank you for participating in Horizon Bancorp's third quarter earnings conference call. Our comments today will follow the Investor Presentation we published yesterday, October 27. Horizon's third quarter exemplifies that we our company on the move and represents perhaps the busiest quarter in our company's 148-year history. We consolidated 10 offices during the quarter, acquired 14 Michigan branches and sold our ESOP trustee accounts as we focus on more profitable growth opportunities. Horizon's third quarter represents our efforts to allocate resources and capital to where we can achieve better returns and the results are proving to be successful with organic loan growth and record earnings during the quarter. The momentum taking us into 2022 and 2023 is due in part to new associates and customers we welcomed from the 14 Michigan branches acquired on September 17. This logical extension of our franchise includes adding approximately 50,000 new households, three commercial lenders and low cost and stable core deposits. Horizon's has already proven that the mass and scale work to drive shareholder value and our recent branch acquisition only contributes to that momentum. In addition, the 10 branches we closed on August 27 in the continuation of our ongoing effort to maximize efficiency of our retail franchise. This focus results in our consistently low non-interest expense to average assets ratio which was just 2.09% in the third quarter, down from 2.18% in the second. We expect to continue to improve efficiency even as we redeploy employees from the closed branches to fill open positions and reinvest much of the savings into technology designed to enhance sales and customer experience. As far as building for the future, we increased the number of commercial lenders since December 2020 by approximately 20% with additional offers pending and we have added capacity into our in-market indirect auto lending program in our new Michigan footprint. Horizon is well positioned to seize upon future opportunities and increase returns as we shift earning assets from the investment portfolio into higher yielding loans. Starting on slide four, company highlights. Horizon completed the third quarter reporting record quarterly earnings at $23 million or $0.52 per share. Driving the quarterly results were record net interest income, organic commercial and consumer loan growth and continued focus on efficiency. Given the size of our balance sheet, highly efficient operations and talented workforce, we believe Horizon is well positioned to capitalize on significant organic and strategic growth opportunities within our attractive Midwestern markets. So why invest in Horizon? Our investment thesis is simple. We are a high performing company in growth markets. Horizon has a disciplined operating culture. We accomplish goals, get things done. This is best represented by a return on average assets of 1.41% and a return on average equity of 12.64% for the quarter. And the fact we continue to focus on efficiency as evidenced by consolidating 30 par branches over the past six years. The rising is a compelling value play as represented by trading multiples at quarter-end of 1.51% price to tangible book value in 9.2 times price to earnings for the trailing 12 months. We operate in attractive Midwest markets. As we like to say, we are in the right side of Chicago. Finally, our risk profile is lower than most Midwest banks as our operating model and loan mix consistently performs well in varying economic cycles. As you will see on slides seven and eight, we are clearly demonstrating consistent growth over the last 18 years. Compounded annual growth rate for total assets 13.5% and compounded annual growth rate for net income 18.8%. For the past five years, 2016 through 2020, the compounded annual growth rate for assets was 18% which is 5.5 times the rate of change to our gross domestic product and 2.9 times the average growth rate for community banks. Horizon is a growth company. On slide nine and we remind you that Horizon's expansion and growth has occurred primarily in college and university towns in the state or county government seats. Therefore, a majority of our footprint has an economic base that is traditionally more stable than other areas of Indiana and Michigan. Our recent branch acquisition expands our presence into college towns. And in eight of the 11 counties where the acquired branches are located, Horizon will either be number one, two or three in deposit market share. Horizon remains positioned well to take advantage of the outbound migration from Illinois, which continues to increase as consumers and businesses exit dense living spaces, high taxes, increasing crime rates and high cost of living. Both Indiana and Michigan continue to show improving economies as evidenced by low unemployment rates and an increase in total work force. As a result of tight labor market. we are starting to see some wage inflation. On slide 10, you will see highlights of our primary markets where we are engaged in some exciting economic events creating new business opportunities for Horizon. We have begun moving onto the digital transformation. Horizon's average monthly transactions continue to shift away from branches toward digital and virtual channels. As of last month, 76% of all transactions took place through our digital channels compared to 44% in 2018. The good news is that since our branch network's second re opening in January 2021, the online activity has stayed relatively constant. Horizon has embraced this shift before the pandemic which of course has accelerated the trend. It was a key consideration in our annual branch review in the consolidation of 10 branches in August. Horizon's focus on our retail networks' efficiency has helped increase our average deposits per branch over the last four years from $46 million to $72 million. Horizon manages and deploys its capital well, as evidenced by our recent acquisition, stock buy backs for the quarter and increased our quarterly dividend. Year-to-date, we increased our quarterly dividend twice for an aggregate year-to-date increase of 25% and a dividend yield of 3.3% at quarter-end. Now for the financial update, my privilege to introduce you Horizon Bank's Executive Vice President and Chief Financial Officer, Mark Secor. Mark?
Mark Secor: Thank you Craig. Horizon had its second consecutive quarter of record net income with new records for net interest income and pre-tax pre-provision net income. We are very pleased with these results and the positive core trends demonstrated in the third quarter. Starting with slide 15. The company's third quarter results were impacted by two one-time events, the transaction costs for the branch acquisition and the sale of the ESOP trustee accounts. We recorded a $2.4 million gain for the sale of the ESOP trustee accounts and recorded a $2.8 million of transaction costs from the branch acquisition. Those include direct transaction costs and one-time credit loss expense for the acquired loans. The record net interest income was partially due to a higher level of interest earning assets with cash continuing to move to the investment portfolio along with maintaining a steady net interest margin. Continuing to grow net interest income is still one of Horizon's key objectives. Non-interest income reflected an increase over last quarter primarily due to the $2.4 million gain on sale of the ESOP trustee accounts and also a recovery of $867,000 from an acquired charged off loan. These are partially offset by lower mortgage revenue. We had a $1.1 million expense for credit loss compared to a $1.5 million release from the allowance for credit losses in the linked quarter. The day one credit losses allocated to the acquired loans was $2 million. Without the transaction, there would have been another small release of the allowance for credit losses. We see continued strong credit performance, low net charge-offs and improving econometrics. We continue to believe we are appropriately reserved, given the current state of our portfolio, the recovering economy and our CECL modeling. Slide 16. The adjusted margin declined only one basis point during the quarter and was positively impacted by 16 basis points from PPP income as net deferred fees were recognized for loan forgiveness. This was offset by 16 basis points of margin compression from high cash balances held during the quarter. The 13 basis point increase in the loan yield and the seven basis points decrease in the cost of funding helped manage the impact of the increase of the average balance of lower yielding investments during the quarter. Earning assets averaged $6 billion during the third quarter and reached $7 billion at 30, 2021. Starting the fourth quarter with an additional $1 billion in earning assets is expected to contribute to an increase in net interest income but may also put pressure on our margin, as the majority of the earning assets increase are in lower yielding assets. Slide 17. The loan yield increased for the third consecutive quarter to 4.56% due to PPP loan income recognized and a reduction in the loan mix of lower yielding PPP and mortgage related loans. Without the impact from PPP loan income recognized during the quarter, the loan yield would have decreased five basis points compared to the second quarter loan yield without the impact of PPP loan income. As loans continue to reprice, the remaining PPP loan forgiveness, our loan fees are recognized and new product is originated at lower rates, additional downward pressure on a loan yield is expected in the fourth quarter and going into 2022. Slide 18. The investment portfolio was $2.4 billion at the quarter-end and has increased $1.1 billion since the end of 2020. $630 million of this growth is directly related to the low cost liquidity onboarded with our September branch acquisitions. During the quarter deposits grew $1.2 billion, which included $846 million from the branch acquisition and $352 million organically. With $972 million of cash on the balance sheet at the end of the third quarter, additional purchases of investments are expected as we continue to focus on increasing net interest income. Slide 19. Margin compression was tempered by our continued improvement in funding costs which reflect Horizon's valuable and growing core deposit franchise. The CDs portfolio of 15 basis point decrease in pricing reduced total funding costs as higher cost term deposits matured during the quarter. $162 million of CD's with an average cost of 50 basis points will mature during 2021 and continue to reduce our cost of funds. The 4% growth in non-interest bearing deposits also contributed lower funding costs in the third quarter. In addition, the acquired deposits from the branch acquisition will help to reduce deposit costs as their average cost is lower than ours. As total deposits continue to grow, we are also strategically pricing deposits to manage liquidity, instant inflows from transactional and transient sources. This of course is balanced against our commitment to stand by our long-standing customer relationships and high potential new opportunities in our growth markets in Indiana and Michigan. Slide 20. Mortgage revenue from gain on sale of mortgage-related income continue to support non-interest income but at a lower level than in the third quarter of 2020. Year-to-date gain on sale of mortgage related income was $2.1 million higher than the same period in 2020 as last year's mortgage servicing rights impairment was partially offset by mortgage servicing rights recovery so far this year. The continued high level of mortgage production was 61% coming from purchase activity and strong percentage gains are the primary contributors to our non-interest income for the quarter. Based on local and national refinancing activity, we expect strong line contributions to continue from this mortgage business in 2021 and into 2022. Slide 21. During the third quarter, operating expenses increased as we had $799,000 transaction related costs and an increase in salary and benefits costs reflecting our investments in talent and higher bonus expense accruals as our team continues to achieve incentive targets. Core operating expenses continue to be leveraged as we saw non-interest expense to total average assets decline to 2.09% or 2.05% when excluding transaction costs. We anticipate with the ability to leverage the asset growth from the branch acquisition that we will be under 2% of non-interest expense to average assets in the fourth quarter or on into the first quarter of 2022. Now for some additional comments on our loan portfolio, I will turn it back over to Craig.
Craig Dwight: Thank you Mark. The recent branch acquisition increased Horizon's low cost deposits and lowered our loan to deposit ratio from 85% as of December 31, 2020 to 61% as of September 30, 2021. In Horizon's previous 10 years, our average loan to deposit ratio was 91.5%. So we do know how to manage for loan growth. As a result of this competitive pricing advantage with the new branch acquisitions, Horizon's focus for the next two years will be loans, loans and more loans. Looking at the chart on Slide 20. Horizon's $3.7 billion in total loans are well diversified with 59% in commercial and 41% in residential mortgage and consumer. The table on the right provide the granularity within our commercial loan portfolio which itself is well diversified. Our single largest sector is the residential multi-family housing loans at 6% of total loans. And this segment continues to perform well. All pandemic-related distress business sectors have seen considerable improvements over the prior year's operating results including the hotel, restaurant, hospitality and leisure industries. Horizon's non-owner occupied real estate portfolios also exhibit strong cash flow and low delinquency rates. Horizon's consumer loan portfolio continues to reflect strong underwriting standards as evidenced by low delinquency at 38 basis points at quarter-end and year-to-date net charge-offs at four basis points. Consumer loans for the quarter, excluding acquired loans, increased by $11.1 million or 1.7% for the quarter. Looking ahead, the consumer loan areas well positioned for continued growth as we added 34 new indirect dealerships in our expanded Michigan footprint and we experienced an increase in home equity line utilizations for the first time this year as consumers spend through their stimulus money. Horizon's commercial loan portfolio continues to reflect strong underwriting standards as evidenced by quarter-end low delinquency at two basis points in year-to-date net charge-offs at one basis point. Commercial loans reflected 9% annualized growth rate for the third quarter as a result of new loan volume, increase in line of credit utilization and a slowdown in payoffs. The addition of new lenders during the year in growth markets in Western and Eastern Michigan and Northwest Indiana is beginning to show results. Here, we expect our lending team to have significant impact in the quarters ahead. We are also pleased to report that Horizon's commercial pipeline is robust with $133 million in loans approved not yet closed. This is the highest level for pending closings in 2021. Hotels represent 3.9% of total loans and this segment has been a significant pick up in the occupancy and average daily room rates through the third quarter of 2021 compared with the first quarter. As of August 2021, the accuracy rate was 70% for our borrowers which reflects 96% of Horizon's total hotel loan dollars outstanding. It is an increase over August 2020 occupancy rates of 55%. Hotel occupancy gains are primarily attributed to increase in consumer or leisure travel along with a smaller increase in business travel. Horizon's hotel portfolio is primary located along interstate highways and resort locations, frequented by the consumer travelers. We are not located in entertainment or convention venues such as large metropolitan areas. To summarize, Horizon Bancorp's key franchise highlights, we are positioned well for earnings growth going into 2022 and 2023 as a result of our recent acquisition of 14 new branches, 10 branch closures, a pickup in loan demand, an increase in commercial loan officers and expansion of our consumer loan dealer network and leveraging excess capital. We are a seasoned management team who has a history of north of managing through multiple economic cycles and delivering growth far exceeding the banking industry's average growth rates. We have a robust capital position and excess cash at the holding company in excess of $120 million which gives us considerable future optionality. Horizon has maintained a solid historical compound annual earnings growth rate of 18% over the past 18 years. And the company has paid 30 years-plus of uninterrupted cash dividends on our common shares and raised the dividend for the second time this year for an aggregate increase year-to-date of 25%. We conclude our prepared remarks today by asking that you save the date for Horizon's Virtual Investor Day on Thursday, December 2. Our senior operations, credit, commercial and consumer leaders will be sharing their perspectives on Horizon's 2022 growth plans, the integration of our recent branch acquisition and showing off forecast and our bank's retail experience. We will publish details on how to access to our virtual event and we hope that you will be able to join us for the Investor Day. With that, I will ask the operator to please open the lines for questions. Thank you.
Operator: [Operator Instructions]. The first question comes from Nathan Race from Piper Sandler. Please go ahead.
Nathan Race: Yes. Hi everyone. Good morning.
Craig Dwight: Good morning Nate.
Nathan Race: Thanks for taking the questions. Maybe jus to start off on the outlook for loan growth in the fourth quarter. If we exclude the mortgage warehouse and the ongoing PPP run-off and I appreciate you guys have put a lot of pieces in place in terms of personnel additions on the commercial lending side over the last 18 months or so. so how should we be thinking about the mortgage outlook for additional commercial banker hires going forward and just expectations for loan growth, ex those items in the fourth quarter and into 2022 as well?
Craig Dwight: Nathan, thank you for the question. I will have Jim Neff answer the outlook for mortgage warehousing and Dennis Kuhn talk about the commercial loan outlook as well as the PPP program. Jim?
Jim Neff: Thank you Craig. Good morning everyone. On the mortgage warehouse side, we expect that to track with the MBA refinance forecast. And as you have seen our balances are tracking down quarter-by-quarter, our normalized level, we feel will be somewhere between 140 million and $160 million is where it will normalize going into 2022.
Dennis Kuhn: Good morning. This is Dennis Kuhn. With regard to commercial and PPP. Again, as Craig had mentioned, we are entering the quarter in our strongest pipeline position at over $130 million. That is building, I can say, on a weekly basis. So we are seeing really good activity including our newer additions to the lending staff. I will note that three of those joined in the last 60 days. So again, they have get in, get acclimated and these are all highly experienced connected lenders in their markets. So we expect to see continued ramp up in those pipelines through the balance of the year and certainly in 2022. From a PPP standpoint, we will continue to process forgiveness. So we are hopeful that most of that will be completed in the fourth quarter. So again going into 2022, that noise will quiet down.
Nathan Race: Okay. Thank you. Yes. So perhaps just to clarify, just on the commercial side of loan and excluding the PPP run-off is a kind of a low to mid single digit outlook or do you guys feel more like in the mid single digit range as a reasonable expectation to think about for commercial ex-PPP going forward?
Craig Dwight: Well, again, I think based on our third quarter performance at over 9% annualized, I expect to see that continue right in that range, 9% to maybe hit up to 10%, in that range So again, we feel real good about the momentum we are seeing in some really good growth markets including Grand Rapids, Troy and Holland in particular and then in Indiana, South Bend and Lake County. So good strong markets and we have built our presence there and expect to see continued growth.
Nathan Race: Got it. That's great to hear. If I could just ask one more on just the operating expense outlook. Obviously there's some moving pieces to think about with the legacy branch consolidations that were completed in the quarter and then you also have the locations coming onboard from TCF. So Mark, maybe any thought on just kind of a near term operating expense run rate from about 33.5%, knowing that we saw in the third quarter and how that trajects into the fourth quarter and perhaps into early 2022 as well?
Mark Secor: Yes, Nate. We are going to see some increase because of the initial costs from the branches. And I think that modeled then for you in the past. What we anticipate seeing because of the way that the savings comes from the branches that we closed, to 10 branches, it's going to come over time because as we stated we kept the people in place from those branches to help one with the transaction and two just we know we are going to need to have an employee pool to absorb those over time here over the next nine to 12 months. But the operating expenses are still there as we have been successful in getting rid of some locations but until we get rid of the actual buildings, there are still costs. So those cost saves will get absorbed and hopefully what we will see is it will just help him manage the expense levels and we will see just the normal informational type increase through 2022 and then the cost savings for the branches would help normalize expenses and the main increase would be from bring it on the 14 branches. Like we said, we do anticipate we are going to be sub-2% of average assets for our expenses.
Nathan Race: Okay. Great. I will step back for now. I appreciate you guys taking the questions and all the color.
Craig Dwight: Thank you Nate.
Operator: Our next question comes from Damon DelMonte from KBW. Please go ahead.
Damon DelMonte: Hi. Good morning guys. Hope everybody is doing well today.
Craig Dwight: Good morning Damon.
Damon DelMonte: The first question regarding the margin. Mark, I think your commentary kind of pointed to some additional headwinds in the margin given liquidity and loan yields for new production kind of still below the portfolio. How close are you to that gap closing on the new production and current portfolio?
Mark Secor: I think it's going to take some. Some proposal will adjust quicker. Consumer portfolios adjust quicker just because their duration is less. But they are closing in as new prices are getting closer to the portfolio. I don't know the timing of that, Damon It's going to take at least through next year, I would anticipate as the loans mature, reprice. But the margin is going to have the pressure. Ending the quarter with over $900 million of cash, we had an average cash of maybe somewhere around $300 million for the quarter. So just having that mix is going to impact the margin here in this quarter.
Damon DelMonte: Okay. And then how quickly do you think you could take that $900 million and kind of reinvest that into securities to get some yield pick up there?
Mark Secor: Yes. We are not going to be able to reinvest all of it. We anticipate some cash flows coming out. We are trying to determine what some of the, especially the municipal side some of the core, so we anticipate we are going to hold some of the cash and reinvest a portion of it. But we will get that. We will get what we want done with that here over this quarter and starting into next year. What I don't know is, we had still strong deposit growth just organically. So we are not seen the run-off. So if we continue to see deposit growth, that's just going to be fighting to get that cash balance down.
Damon DelMonte: Right. Okay. And just as a second question. Credit is obviously very strong for you guys. Your reserve levels are still three times pre-CECL. So how do we think about the provision level going forward? Because this quarter absent CECL, it would have been a release. So can we expect a release here in the fourth quarter?
Craig Dwight: Damon, the releases will probably come through in the fourth quarter of next year. The level, we are not sure. We are being cautious because the pandemic still exists and is ongoing and therefore a good portion of our reserve is set aside for general losses in the distressed sectors. I think this winter is going to be the time to tell. The build up cash, during the summertime those sectors but right now by example restaurants, industries having a challenge getting people to work in their industry and to serve tables and to clean and bus tables et cetera. So are still being cautious and not releasing reserves aggressively, at least through this year. The other part is our historical loss rates continue to fall overall and our econometrics continue to approve. So those two factors play into the release discussion going forward.
Damon DelMonte: Okay. I appreciate the color. Thank you very much.
Craig Dwight: Thank you Damon.
Operator: [Operator Instructions]. Our next question comes from Terry McEvoy from Stephens. Please go ahead.
Daniel Thomas: Morning everyone. This is Daniel Thomas, online for Terry McEvoy. My first question is, in the press release you guys mentioned that the operating cost saves coming from the branch closures back in August are going to be redeployed into technology investments. I was wondering if you guys could expand on that a little bit in terms of both tech investments and maybe if we can see some potential efficiency gains from those? Thank you.
Craig Dwight: Yes. This year, we deployed a new mortgage software system called Encompass which is cradle to grave for the customers, the customers' insight into the process that works with vendors, et cetera. So our mortgage team has more capacity without increasing staff. They are more efficient with their mortgage loan origination teams as well. A year before that we added our own new technology for the consumer loan platform that's similar. And both platforms are best-in-class. They can go to mobile to online banking. In 2022, we are looking at commercial platform. We added a data warehouse last year as well that gives us improved information reporting. We added a new financial reporting package that streamlines our financial reporting as well. From an customer enhancement perspective, we have added chat last year, improve the bots this year. We are answering over 85% of all enquiries through the bots today. We continue to do outreach efforts, both of our digital channel and our direct channels, getting customer satisfaction surveys back. We are scoring in the 80 percentile range of customer satisfaction for both our digital and in-person. So things are working. We continue invest. Things that we have to add would be improvements in our customer service platform which will be added next year. It's not as efficient as we would like to see. And our whole strategy is our direct branch platforms are aligned with our digital platforms. They are using the same platform to open accounts, transfer into internet banking, et cetera. So we have just been aligning all the platforms into next year. But yes, the best rate continues. Annually, we conduct a gap analysis of technology. We compare ourselves to best-in-class, which is typically the big banks and/or fintech and then we compare ourselves to other community banks of our similar size. We compare very well to our other community banks, both in treasury management platforms and the retail platform. So thank you for the question.
Daniel Thomas: That's great. Thank you I appreciate the detail on that. And then just one second question. moving to capital. Do you guys have a targeted capital level that you are trying to get to? And should we expect the buy backs to continue? Thank you.
Craig Dwight: We don't publish a targeted capital ratio. We continue to focus on being well capitalized with some cushion to it. Stock buy backs, it depends on the price to our tangible value. And if we think there, we will buy going to market. If not, we will hold back. Those are continued accumulation of cash and our strong performers from an earnings perspective. I would assume buy backs would come back in bold again. Mark, you want to add to then?
Mark Secor: I was just going to comment that we obviously leveraged capital over the years and we leveraged a little bit here with this transaction. However, when you look on a risk and we talk about this regularly, look at a risk basis, when you have $2.4 billion of investments right now which obviously isn't the normal design but it's what we are given because of the liquidity in the market, we think that we have a lot less risky profile and having tangible capital levels that we are at. So we kind of balance all of that.
Daniel Thomas: Got it. That's really helpful. Thanks guys. I appreciate it.
Craig Dwight: Yes. Thank you.
Operator: Our next question comes from Brian Martin from Janney Montgomery. Please go ahead.
Brian Martin: Hi. Good morning everyone.
Craig Dwight: Good morning Brian.
Brian Martin: Hi, Mark. can you maybe just give a little thought on, I appreciate the color on the margin,, just thinking about that you amount of cash you guys have today and just kind of how to think about frame up the dollars of net interest income maybe just into next quarter just to kind of understand what you are thinking here? I mean I guess it seems like the margin comes down but the dollars of NII, I mean I guess if you can strip out the PPP, should we think about the dollars of NII just continuing to create increase sequentially the next three to four quarters just kind of on a clean basis and focus on that, given all the efforts you are going to be taking to put this cash to work?
Mark Secor: I think that's the right direction. I mean with two events, we did pick up over $200 million of loans in the third quarter with the transaction. So that's going to generate continued net interest income and we still had some settlement of securities and plus we were in the market for some securities. So we are going to see more earning assets coming on. Again, I think you are on track what we want to see is that we want to continue to see a steady income of net interest income. Also the growth of commercial is going to also shift some of that cash. And again, the thing that we don't know is what's going to be the inflow or outflow of deposits and how that's going to impact the cash and the margin.
Brian Martin: Okay. So steady increase there. And I guess, are you seeing into the quarter now, into the fourth quarter, deposit flows slowing at all? Are they stabilizing?
Mark Secor: It seems to be stabilized a little bit. But it's also seasonal because of tax season for the municipalities. But from a consumer and commercial side, we will see it come down and then we will see it come back up. And the trajectory has been all through the quarter of continued growth. So it may change this quarter. We may start seeing more outflows. But at this point that's not what we are seeing.
Brian Martin: Okay. And then maybe the follow up for me was just twofold. Maybe if you can just give a little thought on, someone brought the point about the buy back. But just as far as deployment of capital, the potential, Craig, maybe for how are discussions on the M&A side? Or is it, know given all the opportunities you have talked about organically, maybe is that less of a priority, at least here in the near term? And just an outlook, for Dennis maybe, on the mortgage, the gain on sale line or Mark, how we think about that? It sounds like it's still strong and carries into next year, maybe a similar type of level?
Craig Dwight: Yes. Brian, M&A have a less focus initially next year, primary be the momentum we have going into 2022. However that said, we are looking at opportunities for increasing the loan growth and/or leasing would be two primary sectors we are looking at. Obviously, we don't need another deposit franchise. If we can acquire a loan growth franchise, that would become top of mind.
Brian Martin: Okay. Sorry, Dennis. Go ahead.
Dennis Kuhn: On the mortgage side, I will make a common. The comment I made about the two nine month periods that we have $2 million more of mortgages revenue from gain on sale and servicing and impairment because last year we saw that impairment hit. So we have actually seen an increase through nine months. Now, fourth quarter of last year was really strong so that will catch up here. But Jim, I don't know if you want to comment on the volume? I think it's been fairly steady>
Jim Neff: Yes. The volume's been very steady. Seasonality will come into play. I think we will see some decrease. And with the refinance activity, if rates do creep up next year we are going to see overall production down. But I think it's still going to be a very strong level for next year.
Brian Martin: Okay. I appreciate the feedback. Thanks guys.
Jim Neff: Thanks Brian.
Craig Dwight: Thank you Brian.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Craig Dwight for closing remarks. Please go ahead.
Craig Dwight: Yes. Thank you for participating in today's earnings call and we look forward to speaking with you again on December 2 for our Investor Day. So please sign up and see you on December 2. Thank you. Have a good day.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.